Operator: (Operator Instructions) Welcome to The J.M. Smucker Company First Quarter 2010 Earnings Conference Call. I will now turn the conference call over to the Chief Financial Officer, Mr. Mark Belgya.
Mark Belgya: Welcome to our first quarter earnings conference call, thank you for joining us. Also on the call from the company are Tim Smucker, Chairman of the Board and Co-CEO, Richard Smucker, Executive Chairman and Co-CEO, Vince Byrd, President of our Coffee Business, Steve Oakland, President of Smuckers, Jif, and Hungry Jack, Mark Smucker, President of our Special Markets and Paul Wagstaff, President Oils and Baking. After this brief introduction I will turn the call over to Richard for opening comments. I will then review the financial results for the quarter and Tim will provide closing remarks. At the conclusion of these comments we will be available to answer your questions. If you’ve not seen our press release it is available on our website at Smuckers.com. A replay of this call is available on the website. If you have any follow up questions or comments after today’s call please feel free to contact me or Sonal Robinson, our Director of Investor Relations. I would like to remind you that in both the prepared comments and during the question and answer period that follows, we may make forward looking statement that reflect the company’s current expectations about future plans and performance. These forward looking statements rely on a number of assumptions and estimates and actual results may differ materially due to risks and uncertainties. I invite you to read the full disclosure statement in the press release concerning such forward looking statements. I also want to point out that the company uses non-GAAP results for the purpose of evaluating performance internally. Additional discussion on non-GAAP information is also detailed in our press release and on our website. I’ll now turn the call over to Richard.
Richard Smucker: I would like to begin by summarizing the key highlights for the quarter. First, we delivered record sales and earnings for the quarter with Folgers contributing significantly to the overall results. Sales were up 58% and non-GAAP earnings per share were up 12%. Second, as consumers eat more at home we benefited with broad based volume increases in nearly every one of our US retail categories. Third, operating margin significantly expanded, mainly due to the addition of Folgers. Many of our core businesses also experienced margin gains as commodity costs have declined from a year ago. Finally, we are well positioned for this year’s back to school and fall bake and holiday periods, with our first opportunity to broadly include Folgers in multi-branding themed events. We have new advertising lined up and new products to capitalize on our strong momentum. Now let me provide brief commentary on each of our four business segment. During the quarter growth in both the Coffee category and Folgers once again exceeded historical levels in large part due to the execution by our fully integrated marketing and sales teams. The continued expansion of Dunkin Donuts and the Gourmet category and strong gains in traditional roast and ground led to the growth compared to last year. Segment profit in the quarter exceeded our long term expectations primarily due to lower green coffee costs during the period and volume related to operating efficiencies. At the beginning of this month we completed the last of our three key integration milestones, transitioning the green coffee systems onto our oracle platform. We would like to again thank our employees for their continued efforts. These integration activities have been executed seamlessly with no major issues or concerns. We’re on track to deliver the $80 million of synergies this fiscal year. In the Consumer area, performance for the quarter was strong as volume and sales increased for the Jif, Smuckers, and Hungry Jack brands and the segments profit growth exceeded sales gains. We recently expanded our peanut butter capacity and are well positioned for future growth. This year we look forward to focusing on merchandising, marketing and rolling out new products for Jif. We have started shipping our new Jif Omega 3 and our reduced fat Jif to go. In addition, we recently introduced new commercials under the Choosy Mom’s campaign, focusing on the brands core equities. In line with eat at home and the back to baking trends our oils and baking segment delivered good volume growth with both Crisco and Pillsbury experiencing double digit increases. Sales for the segment were down modestly as planned price decreases, additional promotional spending and volume declines in canned milk, more then offset the gains in baking, mixes and frosting. You may recall that a response to declining commodity costs we lowered oil, shortening, and flour prices by approximately 13% this past January and canned milk prices by 7% in June. Momentum in the Pillsbury brand continued this quarter with volume up over 25%. In addition we benefited from new placements at a key retailer last year and our new products, especially Easy Frost and Brownie Minis are receiving very good customer acceptance. This combination of new products, good merchandising programs and marketing investments gives us confidence in a solid fall bake for the oils and baking category. Finally, sales in the Special Markets segment increased 4% as the addition of Folgers more then offset unfavorable foreign exchange and volume declines. In summary, we delivered a strong quarter and are starting the year with good momentum. We are encouraged that commodity costs have declined and are comfortable that our pricing is positioned appropriately. As retailers are evaluating their product offerings, our strategy of owning number one brands positions us very well for the future. Further, our portfolio of brands fits the needs of today’s value oriented consumers. The strength of these brands provides the ability to continue to generate long term profitable growth. I’d now like to turn the call back to Mark to have him review the financial results for the quarter.
Mark Belgya: Sales were a record for the quarter again exceeding $1 billion. The growth, coupled with expansion in operating margins across almost all of our businesses delivered record earnings. Sales for the quarter increased $388 million or 58%. Volume gains of approximately 8% across Consumer and Oils and Baking were partially offset by decreases in Special Markets resulting in an overall volume increase of 2%. These volume gains were more then offset by recent price declines in Oils and Baking and an increase in promotional spending in certain categories. Excluding acquisitions and foreign exchange, sales were down 1% for the quarter. GAAP earnings per share were $0.83 this quarter and $0.77 in the first quarter of last year, including restructuring and merger integration costs. Excluding these charges in both years’ earnings per share were $0.92 this quarter and $0.82 in last year’s first quarter an increase of 12%. If you also exclude amortization in both years earnings per share were $1.02 this quarter and $0.84 last year an increase of 21%. Operating income increased $109 million for the quarter excluding charges and increased as a percent of sales from 11.4% to 17.6%, well above historical averages. Again, excluding amortization adds another 170 basis points to our operating margin. Gross profit increased $198 million over the first quarter of last year and was the primary driver of the increase in operating income. Gross margin improved from 31.3% last year to 38.6% this quarter. Folgers contributed over 90% of the increase. Folgers gross margin continued to be positively impacted by favorable green coffee costs, mix and volume related operating efficiencies. Gross margin for the remaining Smucker business improved by 170 basis points over the prior year primarily due to overall lower commodity costs including diesel which allowed us to reach our margins more in line with historic levels. SG&A expenses increased approximately $71 million mainly reflecting the addition of Folgers but decreased as a percent of net sales from 19.7% to 19.1%. As expected, marketing expenses increased as percent of net sales in the quarter, in support of our brand equity initiatives including new advertising. Selling and corporate administrative expenses decreased as a percent of net sales reflecting the impact of leveraging the existing sales and corporate infrastructure and realizing synergies associated with the Folgers transaction. We have achieved all of the $80 million of synergies on a full year run rate basis and have included them in our full year guidance. Looking at other key EPS components, interest expense was up $8 million, reflecting the borrowings associated with the Folgers transaction. On June 1st we paid off $75 million of long term debt from available cash. We are currently in the process of securing a new $400 million three year revolver which will supplement our existing $180 million facility. We expect to close the financing during the second quarter, in time for the $550 million in maturities coming due in November. This new facility was factored into our guidance and is not expected to impact our original interest expense forecast for the year of $66 million. The effective income tax rate for the quarter was 35.2% compared to 33.3% in last year’s first quarter, reflecting the higher effective tax rate associated with the Folgers business and the net favorable resolution of previously open tax positions in 2009 compared to 2010. We continue to anticipate a full year tax rate of approximately 34%. Let me now comment on our reportable segments. The US Retail Coffee segment contributed $366 million to net sales for the first quarter 2010. Folgers and Dunkin Donuts sales strongly outperformed the prior year. Compared to the same three month period last year, prior to the transaction, volume was up 9%. Net sales for the same period were up as the volume increased and a favorable mix more then offset total price declines of approximately 7% taking last October and December. The Coffee segment contributed $127 million to profit and achieved a nearly 35% margin. We still believe that segment margin under 30% is more likely long term but recognize favorable green coffee costs could cause margins to be higher in the short term. Additionally, we have modified our hedging strategies for coffee and positions may now be longer similar to some of our other hedged commodities. Sales in our US Retail Consumer segment were up 6% led by 7% volume gain. Jif accounted for the largest portion of the increase but sales gains were also realized in fruit spreads, pancake mixes and syrups. Segment profit increased 12% reflecting sales growth, favorable product mix and supply chain efficiencies. Segment margin improved by 120 basis points compared to last year’s first quarter. In US Retail Oils and Baking segment sales declined 2% compared to last year. Segment volume was up 8% with double digit gains in Crisco Oil and Pillsbury Flour, baking mixes and frostings. Canned milk volume declined more then expected in both branded and private label. This impacted, coupled with price declines taken this calendar year, and higher promotional spending on Crisco led to the modest year over year sales decrease. Segment profit increased slightly and margins improved 50 basis points as lower commodity costs and supply chain efficiencies more then offset the higher promotional spending and planned increases in marketing across the segment. Total sales in the Special Markets segment increased 4% as the addition of Folgers more then offset the impact of foreign exchange and volume declines. In Canada, Foodservice and Natural Foods volume declines were generally attributable to the current economic environment. While volume and sales in Foodservice were down we continued to outperform the market decline in the hospitality industry. Profit in the Special Markets segment increased 36% for the quarter due mainly to the Folgers acquisition along with lower commodity costs and operating efficiencies. EBITDA, excluding merger related costs and adding back share based compensation expense as amortization was $233 million or 22.2% of net sales. Based on our first quarter we are tracking toward our guidance of full year EBITDA of greater then $900 million. Let me conclude my remarks with a review of cash flow. Cash used by operations was $26 million in the first quarter compared to cash provided of $60 million last year. We expect that a significant use of cash this quarter for the seasonal fruit and vegetable procurement to build inventories in advance of the fall bake and holiday seasons and the additional build up of coffee inventory in advance of the Atlantic hurricane season. We expect this build up to continue into the second quarter and then reverse in the second half of the year as we complete our seasonal periods. I would now like to turn the call over to Tim.
Tim Smucker: We had a record quarter with solid volume gains in US Retail businesses and we were able to leverage our top line growth into an even larger earnings increase. None of this would be possible without the dedication of our talented employees and we thank them for their tremendous efforts. It is clear that the addition of Folgers has improved our financial position with significantly higher margins and increased cash flows. In addition, our early results are evidence that our ownership of Folgers provides significant long term opportunities for the top and bottom line. While we continue to focus on leveraging the growth opportunities of the Folgers acquisition, we have not taken our eyes off our core brands and core businesses. We are making significant investments in building our brands through marketing, promotion and research and development, to position us for the short and long term. Let me share a few examples of some of our plans including cross branded theme marketing events, new advertising, and continued partnering with our retail customers. We recently ran a breakfast multi-brand merchandising event featuring Smuckers, Folgers, and Hungry Jack, our first multi-brand event including Folgers since we acquired the brand. For fall bake and holiday we have several multi-brand events planned featuring Folgers, Smuckers, Jif, Pillsbury and Eagle Brand. In Canada, we launched our Baking is Back promotion an effective way to communicate with our consumers by bundling our brands. Finally, our team has worked on a record number of new television commercial supporting our brands including elevating the visibility of the Folgers brand with consumer with new advertising emphasizing the brands core equities including the tag line “The best part of waking up”. New advertising in support of the Dunkin Donuts business and retail channels, Smuckers commercials adding to the classic ‘boys’ campaign for jams and new Jif spots whose timing corresponds with the back to school period. We are encouraged by our strong first quarter performance and the momentum entering the fall bake and holiday season. However we expect second half comparables to be more challenging. We will lap the Folgers acquisition in early November and as you may recall last year’s fourth quarter coffee performance was high. In addition, second half comparisons for Oils and Baking will be tougher as we lap the new placements at one of our key retailers. With regard to our 2010 expectations, we have not changed our outlook for the year. Net sales are expected to approximate $4.5 billion and income per diluted share excluding merger and integration costs is expected to be at the higher end of the $3.65 to $3.80 range. We’re also maintaining our outlook on cash flow items that we provided you last quarter. As you look ahead, we believe that the shift to at home consumption is a trend that will continue and we are well prepared. Our brands have earned the reputation of high quality and fair value and the strength of our brands provides confidence in our strategy as we move forward. In summary, first we had another record quarter in a challenging economic environment. Second, we have now completed our three key integration milestones related to the Folgers integration in less than one year, and we’ll realize $80 million in synergies in 2010. Third, we are well positioned with new products and advertising for the important back to school and fall bake and holiday periods. Finally, we believe that our strategy of owning number one brands positions us well for future growth. We thank you for your time today and now are happy to answer your questions.
Operator: (Operator Instructions) Your first question comes from Eric Katzman - Deutsche Bank
Eric Katzman - Deutsche Bank: My first question has to do with the multi-promo events, although its early and you’re kind of going into the key season I’m wondering what kind of lift you’re seeing by bundling the Folgers business with the other products versus let’s say what you’ve seen in the past? I know when you added Jif and Crisco you got quite a boost and I’m wondering if you at least initially see the same kind of lift.
Steve Oakland: Obviously it’s early on those. We did have a chance to run our first breakfast promotion with Hungry Jack tying in both FSI and trade support with coffee. I think what we saw was more merchandising. Those brands respond great to display, coffee allow us to get more display so we hope that will continue.
Eric Katzman - Deutsche Bank: At least initially you would attribute some of the performance, the strong volume growth that you saw in some of those brands to the initial co-marketing? Is that the way to interpret your comment?
Steve Oakland: I think that’s fair. We’re able to line those up, its very efficient to purchase the media and its very easy for the trade to get behind displaying for example pancake mix, syrup and coffee and jams and jellies. That’s a pretty simple concept for them and I think fits exactly what they’re trying to do right now.
Richard Smucker: I think having the volume and the brand strength of Folgers helps us with our customers in terms of getting their attention. They like that brand, it’s a great brand that they can merchandise and it just gives us more credibility and strength.
Eric Katzman - Deutsche Bank: I assume that based on most of the volume numbers you talked about outside of the Specialty business that that signals most of the products gain market share is that a fair statement?
Paul Wagstaff: I’d say that’s fair with the exception of oils. Oils we did not gain market share over the first quarter period. We had a competitor that had very aggressive pricing going on. That being said we still improved our volume but just not market share.
Eric Katzman - Deutsche Bank: Can you go over the comments you made about the $80 million of cost synergies and so you’ve achieved the $80 million or you’re now at a run rate of $80 million of you were to annualize what you’re doing today?
Mark Belgya: In the last couple quarters we have quantified on a full year run rate. Basically we have identified and will realize the $80 million through the course of the year. I would categorize it as an $80 million run rate that will be achieved by the end of the fiscal year.
Operator: Your next question comes from Farha Aslam – Stephens
Farha Aslam – Stephens: Going into your Dunkin Donuts brand coffee, what is ACZ now on Dunkin Donuts?
Vince Byrd: It hasn’t really changed significantly since we had that same question the last quarter. Again, on the core skus it’s going to be up in the 85% to 95% range. There are some flanker skus that are not anywhere near those ranges yet and then we’re poised to introduce the new item towards the end of the fiscal year. I guess the way to think about it though on the core skus it’s pretty much where we want it to be but there’s some incremental gain. The growth continues its capacity that we’re working on as much as anything.
Farha Aslam – Stephens: Dunkin Donuts brand has had just phenomenal growth this last year. Going forward what type of a growth rate would you expect on that brand?
Vince Byrd: That’s a very good question. As you know it exceeded our expectations but we would certainly hope we can continue with double digit growth for the next two or three years at a minimum.
Farha Aslam – Stephens: If you look at your coffee margins, you’d highlighted that this year could be above that normal run rate of 28% to 30%. How much out performance do you think there is in the year for this year?
Mark Belgya: That’s a little hard to estimate. We probably won’t get into a lot of detail. Obviously where the green coffee costs have been for the quarter will contribute a lot to the overall year. We’re not necessarily in the position to say we’re going to have that kind of results each of the next three quarters. The bulk of the increase is driven by this quarter.
Farha Aslam – Stephens: On the Baking and Oils new retailer that you entered into, if you could break down your volume increases generated by the expansion into that retailer versus your core. How can we think about that just to better model it going forward?
Paul Wagstaff: What happened basically about a year ago August we entered into an agreement with one of the key retailers and increased our positioning on shelves significantly for the baking items primarily cake and frosting. We’re in the process of we will be lapping those numbers coming up in the second quarter. That did contribute significantly to our growth. That being said, when you look at some of the other core customers that we do business with those numbers are also up in double digits as well so its good growth all the way around.
Farha Aslam – Stephens: We can model in continued volume growth for that baking business despite the business lapping this increase in this one retailer?
Paul Wagstaff: Yes, I think the business will continue to grow. It won’t be quite as high as what we’ve seen.
Operator: Your next question comes from Chuck Cerankosky and Alex – North Coast Research
Chuck Cerankosky and Alex – North Coast Research: If my math is correct it looks like you’ve expensed about $80 million of merger and integration charges.
Mark Belgya: That’s correct.
Chuck Cerankosky and Alex – North Coast Research: Could you give us an update on how much you expect to expense in total over the course of the rest of this year and the key to that going forward?
Mark Belgya: For the whole year we said we’d be in the $30 to $35 million range. Obviously that’s going to be a little front end loaded in terms of the fiscal as we have costs that are specific to the first and second quarters. We’re tracking towards that so I would still say that’s an appropriate range. Again, a little bit heavier in the first half versus the second half. It will continues to be pretty much the areas we talked about, its employee cost related, its training, some system transition, things like that.
Chuck Cerankosky and Alex – North Coast Research: It looks like the inventory build this year is a little bit heavier then it has been in the past. How much is coffee, is pricing playing into that, do you expect greater volume in the second half and you want to secure some inventories now? What’s going on, or what’s the logic behind that?
Mark Belgya: From a dollar perspective if you look at base Smucker a year ago versus this year coffee is about the same amount. If you look at the cash flow it probably drove about half of that net change of working capital which was about $175 million use. If you look at the base Smucker business historically we’re probably built inventories of about 25% from years to the end of the first quarter. The coffee business is growing inventory faster so it’s a more concentrated time period plus we’re building for the Atlantic hurricane season so that’s the difference between the base Smucker business and coffee. Just a couple other comments and maybe in advance of a question is that we also from the Smucker side we benefited last year actually on some working capital components that we did not have the same benefit this year. Inventory drove most but there was some last year I think that artificially drove that positive cash flow that just didn’t recur this year.
Chuck Cerankosky and Alex – North Coast Research: I know in early June you changed the pricing strategy around coffee going to a little bit everyday price and a little bit less promotion. How have retailers responded to that and what are the benefits around it?
Vince Byrd: It’s been received very positively. It has been implemented by the majority of accounts and certainly most retailers likely have a better everyday low price for their consumer. I’d say overall it’s been very positive. However, our major competitor at this point has not followed us.
Chuck Cerankosky and Alex – North Coast Research: You mentioned a couple times about supply chain efficiencies, I was wondering if you could just give a little more color around that is that a result of scale or other things you guys are doing as well.
Mark Belgya: It is scale. Some of it is around diesel costs; some of it is around volume driven. Obviously with the good volume across the business our manufacturing facilities were able to maximize from that perspective. There are synergies from the combination, you’ll recall over the last year we’ve talked about the synergies that are the result of the critical math that we can offer up on the cog size so that was some of it as well.
Chuck Cerankosky and Alex – North Coast Research: With the refinancing or the new bank line, within sight of completion any thoughts about the dividend?
Mark Belgya: The Board looks at the dividend annually in April. We took the dividend up in the first quarter. I’m sure the Board will continue to look at that. No immediate news to any changes on that.
Chuck Cerankosky and Alex – North Coast Research: When you’re looking at these nice food at home trends any thoughts about that being a function purely the economy or do you guys see something else benefiting that over the longer term?
Richard Smucker: We think its going to continue. We think that it was probably driven initially by the economy, although those trends we did start to see about two and a half years ago, three years ago. They started slowly the economy accelerated it and although even if the economy gets better we still think that the trend will continue.
Operator: Your next question comes from Jon Andersen - William Blair
Jon Andersen - William Blair: Beginning with the guidance obviously you’ve reaffirmed the outlook for the year but the additional language around more likely to be near the higher end of the range given the strong start. Revenue still looks like you’re expecting $4.5 billion in that range. It would appear that you’re looking for stronger margin performance. Can you talk a little bit about where you’re seeing it; I’m assuming this is largely related to Folgers and segment operating margins there. Is it a margin driven shift in the outlook towards the higher end of the range and what parts of the business are giving you confidence in that?
Mark Belgya: Clearly is a margin, coffee driving the majority of it. As we said, with the lower commodity costs we talked about this over the last couple of quarters. We expected to see margins return to “historical levels” and we’re seeing that across all our businesses. As we look out in the cost environment it’s too early to predict the end of the year and that was really some of the reasoning behind our guidance review. The costs are favorable and I think it’s primarily margin. We’ve achieved the synergies or we will have achieved the synergies, not that that was necessarily in doubt but we are going to achieve that $80 million. It’s a number of things but I think you’ve identified the key ones.
Richard Smucker: That’s probably 80% of it but the other side is the top line has been very good and the momentum on sales per unit has been very good, slightly above our expectations on our plan. There is some top line growth that we anticipate continuing.
Jon Andersen - William Blair: Given the strength of your brand and number one, number two positions that you hold, it just hasn’t felt like private label has been as much of a headwind for you. I’m wondering if you could comment a little bit about what you’re seeing in the private label space in your categories and whether you’re seeing any of the trends there moderate going forward.
Richard Smucker: I think typically what we’ve seen over the years is our brands are compatible with private label. We always believe that consumers can have a choice and so we think that our brands are really compatible. Overall our very responsible marketers so when we take share it really is more with our other branded competitors then it is with private label.
Tim Smucker: Having the number one brand position as you know if private label takes more share it’s usually from the three or four brands and that’s why our strategy of owning number one brands is really important to us.
Vince Byrd: You obviously see the share of market information and you know that private label has grown but back to the strength of our brands for the most part we’ve been able to hold or gain share. A key component of that is we have to monitor all of our pricing points to make sure that we’re providing value to our consumer’s everyday.
Jon Andersen - William Blair: You guys have done a tremendous job within 12 months achieving the $80 million in run rate synergies that you initially identified for Folgers. At this point in time do you see additional opportunities that maybe weren’t as apparent upon the initial close of the deal that would allow you find ways to push that number higher over time?
Mark Belgya: We’ve talked in the past we build in no revenue synergy as part of the $80 million. Clearly as you’ve seen the last two quarters of ’09 and the first quarter here we have benefited from that. To your earlier point in your question the fact that we’ve integrated the business in under a year, the way we manage the business probably is a little different then maybe other companies with major acquisitions is that as we folded it in we’re comfortable with hitting the $80 million but we don’t consistently go tracking to see if there’s more. What I will say is the proof will be in the pudding as margins over time should be enhanced not only in Folgers and the coffee business but across other lines of our business. We don’t want to continually talk about synergies but we’re going to continually talk about driving margin expansion.
Operator: Your next question comes from Eric Serotta – Consumer Edge Research
Eric Serotta – Consumer Edge Research : I wanted to touch upon your comments about changing your hedging strategies a bit with respect to green coffee. If I remember correctly you said that you’ll be taking longer positions. I know the market’s been volatile and generally moving upward recently. I’m wondering what the reasoning behind your decision to increase your hedging periods are and the risk that that poses when green coffee costs come down and your customers expect the typical price pass through.
Vince Byrd: Let me clarify the comment. We’ve done nothing to change the physical purchases of coffee. This is a bit of technical issue but because we went from LIFO to FIFO the layer was eliminated and just by definition that puts you at a longer position relative to your hedging strategy. We do not anticipate at this point necessarily changing the pricing transparency that is with the trade and that’s been explained before. I don’t know that I would say there’s any more risk to the business or upside to the business it’s just that by definition we have a longer position of coffee by eliminating the LIFO layer. Like all commodities though we’ll obviously look to see where we’re positioned and make pricing changes up or down. During this particular period as Mark mentioned earlier we were in a favorable position but not to a point to enact a pricing change.
Eric Serotta – Consumer Edge Research : Given that spot green coffee costs were up in the quarter is it fair to say then and yet your margins benefited and yet you had some very nice above normalized margins is it fair to say that you benefited from some legacy hedges or from some hedges that were already in place.
Vince Byrd: Absolutely.
Eric Serotta – Consumer Edge Research : If I remember correctly in the second quarter of last year you had something like $0.30 per share of course that was on the old share base of mark to market losses that were in your numbers. Just as we look at the second quarter comps, really look at forecasting for the second quarter of fiscal ’09 should we be, I know you can’t tell what the positions are going to be at the end of the quarter but should the presence of those mark to market losses last year be a nice benefit or are there offsets that I’m missing.
Mark Belgya: You’re right, the amount was as you suggested. I don’t know if you want to call it a benefit. What I would say is that last year’s unfavorable hedge loss, since our hedge losses were the result of the market at the time and our position those did reverse out as we talked in the back half of the year. We would not normally project any kind of significant favorable or unfavorable hedging gains or losses and if so we would communicate that. I will leave that to allow you to handle however you want to handle last year but there was a reason because of the commodity market at the time.
Eric Serotta – Consumer Edge Research : Were there any mark to market gains or losses in the first quarter? I know that these get resolved over the subsequent quarter and in terms of cog were there any mark to market gains or losses in the quarter that just ended?
Mark Belgya: The mark to market on commodity was clearly immaterial for the quarter.
Eric Serotta – Consumer Edge Research : Circling back in terms of volume you guys frankly seem to be one of the only food companies out there able to grow volumes in this environment. Even some companies with portfolios that you would expect to aligned with the food at home trend. I know that you sighted distribution gains with a large retailer. I’m wondering whether you could give some additional color as to why you guys are standing out in terms of volume performance in this environment. It really seems like a disappointing performance from the industry and maybe you have some insight into that.
Steve Oakland: It’s hard for us to make judgment on the whole industry. I can say we want to congratulate our sales team on execution. We had a chance to really lay out the multi-brand efforts that we talked about before. The efforts behind the peanut butter business, if you think about when we planned the peanut butter business you’re working six months out with your customer and we were facing the PCA recall issues last year. We’ve put a lot of great plans in place and the team with all this on their plate did a great job executing. I think it goes back to what we think is a core competency and that’s execution.
Vince Byrd: This is probably one of the first quarters that we’ve had an opportunity to significantly change the coffee business given how far our plans typically are in the marketplace. You also have to remember a year ago the former owner would have been their end of fiscal year and they were going through the Hercules product transition. Clearly the focus of our sales and marketing efforts in the quarter made an impact on driving the business and we believe that will continue into the future.
Operator: Your next question comes from Ed Aaron – RBC Capital Markets
Ed Aaron – RBC Capital Markets: I wanted to ask more big picture about your approach to pricing. In US retail you had negative price growth there and obviously you got rewarded for it on volumes. I think you’re really the only one of your peers that has reported a negative price metric thus far. Your peers seem to think that they’re striking an appropriate balance and you clearly seem to be striking an appropriate balance on you end. I’m trying to understand the tactical differences and how to think about them and why this balance makes sense for you whereas the opposite balance seems to make sense for some of your peers.
Paul Wagstaff: I can speak to the baking and oil side, we feel that we did pass through the commodity cost declines that occurred last year back in January time period. We feel that we priced our costs very similar in the right balance with our pricing. I think we’ve been rewarded for that. That’d be my response.
Richard Smucker: Our strategy is really to be as transparent with our customers and gain credibility with our customers whenever possible. We’re very open with them and when there’s a reason to go down in price we do it, they understand it, we talk it through thoroughly with them and when we have to go up in price we do the same thing. I think we’ve been able to gain credibility with our customer because of that transparency.
Ed Aaron – RBC Capital Markets: On Folgers there was an earlier question about the synergies. I was also a little bit confused about how that was mentioned in the prepared remarks because I thought that you said that you’re basically at that $80 million right now. I’m struggling to understand why that is still an exit rate for 2010 instead of a number that will be achieved for 2010.
Mark Belgya: I think that you’re correct, by the end of the year we will have achieved the full $80 million. I think on the run rate discussion we had the last couple quarters is that as went through the process integration we obviously put $80 million out there with specific areas. As you go through the integration you can imagine some of those fall on, new ones get added. We were comfortable at the time as we incrementally added in the third and fourth quarter and commented I think at last quarter at $65 million. At this point of view now we are clear with the $80 million where they’re coming from and they will be in our earnings by years end and they’ll obviously be recognized through the next three quarters.
Ed Aaron – RBC Capital Markets: About your coffee input costs what is sort of an appropriate lag time to think about if we’re looking at the commodity and when that might flow through the P&L with the change in how long you’re hedging. What’s a reasonable lag time, if pricing goes up in one month is it fair to say that we’ll see that in the P&L three months down the road, six months down the road, nine months down the road, what’s the right way to think about it?
Vince Byrd: Just to clarify, are you looking for like what the cover position is how transparent the pricing is?
Ed Aaron – RBC Capital Markets: I’m trying to understand, you’re hedging increasingly further out so if we see a change in the commodity I’m trying to understand roughly when we’ll see that change flow through your earnings?
Vince Byrd: Its going to depend on what our position is and that can vary from now 18 to 24 weeks depending on the position we have at that particular point. To Mark’s point the way the pricing transparency works you might see pricing enacted much, much quicker then that. It just depends upon our position, what we have planned in terms of like an upcoming holiday season, etc.
Ed Aaron – RBC Capital Markets: The IRI data that came out yesterday you had really nice volume growth in both peanut butter and jelly. The price growth was actually negative there and those aren’t categories where I would think that the input costs are necessarily really down year over year. Just wondering if you took a different tactic with promotions in those businesses over the last month or two?
Steve Oakland: I think we’ve talked about in a previous call the one impact on the jam and jelly business that’s been interesting on the economy as we’ve seen tradition jams and jelly volume grow. What I mean by that is strawberry jam, grape jelly, blackberry, orange marmalade, and those things. We’ve seen some of our more expensive per unit items decline and that would be low sugar, simply fruit, and those things. We’ve seen the category shift more towards traditional jams, jellies, and preserves. As you can see in the segment numbers it hasn’t hurt our margins but it has show a little bit of a shift so you’ve seen the tonnage grow faster then the dollars.
Richard Smucker: It does show how the consumer is thinking about it that they’re looking for more value and we have value offering.
Steve Oakland: Some of that has been merchandising with peanut butter. Obviously traditional items merchandise really well with peanut butter and we’re off to a great back to school start.
Operator: Your next question comes from Mitch Pinheiro - Janney Montgomery Scott
Mitch Pinheiro - Janney Montgomery Scott: You go to more or less EDLP strategy in coffee or some of your skus. The fact that you are including Folgers now in your multi-brand promotions, you’re still promoting the brand, it’s just sort of coupled and tied in with your other businesses.
Vince Byrd: We’re not going to an EDLP strategy 100% with trade. What we basically did was take about a third or 25% of our trade monies and put them into price. We clearly still have trade funds to promote during the key promotional periods but again that will enable the consumer to get an everyday better price then come promotional period time we’re not going to as deep as what we did previously because we put those monies into everyday pricing. I just want to clarify we haven’t eliminated all promotional funding during key time periods.
Mitch Pinheiro - Janney Montgomery Scott: How was marketing spending in this quarter and I think you said last quarter that you anticipate marketing spend to be in line, the growth to be in line with sales growth is that still the plan?
Mark Belgya: Marketing spending this quarter actually ran above sales and we would expect that to continue during the year.
Mitch Pinheiro - Janney Montgomery Scott: Spending above the rate of growth of sales?
Mark Belgya: Right.
Mitch Pinheiro - Janney Montgomery Scott: In the coffee segment this is the time of year you get a lot of coffee aisle shelf set resets. Any changes in the overall aisle relative to Folgers and Dunkin?
Vince Byrd: Actually I would say yes and it’s positive, there’s been a couple major retailers make some changes based upon recommendations that we believe it provides better shopping section for the consumer, it’s much, much easier. Each retailer is a little bit different when they look at their sets and their skus but we’ll work with them wherever we can but there have been very major changes that occurred over the last quarter.
Mitch Pinheiro - Janney Montgomery Scott: In the $4.5 billion revenue guidance have there been any changes in the mix, I think you said that the incremental piece of Folgers would be between $800 and $850 million. I was wondering if that remains the same as well as what the organic volume, non-Folgers volume base business is embedded in that number.
Vince Byrd: I would say at this point in time the assumptions that we discussed last quarter are all still in tact.
Operator: Your next question comes from Ian Zaffino – Oppenheimer & Co.
Ian Zaffino – Oppenheimer & Co.: I wanted to dig a little bit deeper into the selling synergies you were talking about. I know you once mentioned this idea of category and cap and I don’t know where you are as far as progress there. Are there any other selling synergies you could point us to?
Vince Byrd: Those are evaluated from time to time and it’s our objective to provide the retailer with as much category and shopper insights as we can. You just don’t go in and ask a retailer we want to now be your cap and you have to earn that. I think that over the long term we have done that on our core businesses and in the majority between a lot in the spreads or in baking we’ve earned those rights and we’re slowing doing that in coffee as well.
Ian Zaffino – Oppenheimer & Co.: Is there anything else that you could help us understand about the selling synergies or what you have to do there?
Mark Belgya: To reiterate a point that Richard made earlier is that from the critical mass that we have with the addition of Folgers I think that we do have a very good relationship with our retailers. Us owning the Folgers business I think that our retailers are excited about that and with the historic relationship we’ve built we’re able to take advantage of that and I think in some of the prepared remarks earlier we talked about the integrated sales and marketing team efforts, that’s where you’re seeing it. You’re seeing the top line growth that we’re talking about that’s what’s driving it.
Operator: Your next question comes from Eric Katzman - Deutsche Bank
Eric Katzman - Deutsche Bank: Given how strong the volume growth is you noted that you have extra capacity in peanut butter. Should we expect CapEx to rise above what you had previously thought based on utilization being tight?
Mark Belgya: I would say at this point we’re always reviewing our CapEx but specific to the capacity, no those were projects that had been embedded in the last year’s capital budget and some spending this year. I wouldn’t read anything more into that.
Eric Katzman - Deutsche Bank: What’s the right number to use for CapEx for this fiscal year?
Mark Belgya: For right now in total we’re at I think we said $120 million. That might go up a little bit. We do have some projects on the drawing board that we’re going to look at. We will probably update everyone next quarter.
Eric Katzman - Deutsche Bank: It strikes me as you move to let’s say more of an EDLP strategy in coffee and the changes in the hedging policy or the accounting thereof. Why are we focusing on margins in that business? Shouldn’t we be focusing on dollar EBIT rather then percentage margin? I’m concerned that because coffee is obviously inherently volatile that as we try to estimate what you’re doing in that business that you’re probably managing it on a dollar basis and if the street starts focusing on percentage margins that can create a problem. Maybe you’ve got the Dunkin Donut mix and the synergies so maybe I’m incorrect in thinking it that way but it just seems to me that we may be headed in different directions by focusing so much on percentage margins.
Tim Smucker: I think you’re exactly correct. Obviously we do look at margins but in the end it does come down to dollars and we look at those versus our volume rates. We will be focusing a lot on what the absolute dollars are. Margins do vary as you pointed out from year to year primarily in some of our, not only coffee, but also in some of the more commodity categories. Just because our margins are a little higher right now that doesn’t concern us long term because we’re going to look for continued growth in dollars.
Steve Oakland: We always think volume is a margin friend. If we get the volumes we get the margins we’ll get the dollars.
Operator: I will now turn the conference back to you to conclude.
Tim Smucker: Thank you very much for your interest and I just want to add that the team this quarter has done a tremendous job. We’ve talked a lot about the three major milestones which we’ve done a great job. There’ve been a number of other milestones we’ve it that we haven’t talked about. Again, thanks to the team, thanks for the interest and your great questions today. Have a great day.
Operator: (Operator Instructions) This concludes our conference call for today. Thank you all for participating and have a nice day. All parties may now disconnect.